Operator: Good morning. My name is Stacey and I will be your conference operator today. At this time, I would like to welcome everyone to today's conference call. All lines have been place on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. You may begin the conference.
Paul Vincent: Good morning. I am Paul Vincent, Manager of Investor Relations. I would like to welcome everyone to Swift Energy's third quarter 2008 earnings conference call. In today' call, Terry Swift, Chairman and CEO, will provide an overview; Alton Heckaman, EVP and CFO will review the financial results for the third quarter and then Bruce Vincent, President, will provide an operational update. Terry Swift will then summarize before we open it up for questions. Also present on the call are Bob Banks, EVP and COO; and Mike Kitterman, SVP Operations. Before I turn it over to Terry, let me remind everyone that our presentation will contain forward-looking statements based on our current assumptions, estimates and projections about us, our industry in the current environment in which we operate. These statements involve risks and uncertainties detailed in our SEC reports and our actual results could differ materially. We expect our presentation to take approximately 25 to 30 minutes and have allowed additional time for questions.
Terry Swift: Thank you again for joining us at this morning's conference call. Before I comment on the third quarter, we feel it is important to our shareholders and the investment community participating on this call to briefly mention recent market volatility and our views in relation to shift to the oil and gas industry and its impact on Swift Energy. We are clearly in a time of great uncertainty. That uncertainty certainly extends to our global capital market. Global equity and commodity markets have been seeing significant decline and asset valuations are falling. Numerous large financial institutions have either failed or have been rescued by the Federal government. The credit market clearly throws up causing significant capital movements in flight to quality. These events force individuals, investors and companies to reexamine their financial strategies to reduce leverage, to improve liquidity and as to seek out high quality banking and customer relationships. At the same time, oil prices have declined over $70 per barrel from their summer highs of near $140 a barrel. Unfortunately, Gulf Coast oil and gas producers also experienced two major hurricane; Gustav and Ike in the midst of this historic financial event. Swift Energy is aware that the global financial crisis is not fully resolved unless the associated uncertainty, with its inherent risk maybe greater than what any of us can currently contemplate. As a result, the Company will be extremely cautious with this available cash flow and capital over the coming weeks and months. For many years now, we have lived within our means and developed excellent banking and new customer relationships. Nonetheless, we are currently adjusting our budget and performance expectations for 2009 to reflect this current environment. Our hedging strategy of utilizing forward to protect the downside in the near term is an important aspect of our strategy. Operating within cash flow will not be a new or novel approach for Swift. Swift Energy has consistently grown production reserves, cash flow and earnings by maintaining a cash flow-neutral approach. Management on the financial side of the business will continue to employ a low leverage and high liquidity approach. As Alton will discuss in further detail, we have capital available to us through our cash flow and our [backlog]. We maintain strong relationships and a dialogue with our bank group as to the market conditions both today and in the future. Finally, the Company has no credit or derivative obligations which would require us to raise capital through asset or equity sales. We also have minimal counterparty risk associated with our current oil and gas floors. Although we are in an uncertain time, we want all of our stakeholders to be aware that we will position this Company to weather this type of market and we will continue to be good stewards of assets while pursuing value-enhancing opportunities. As noted, our third quarter of 2008 was marked by storms of different kinds, storms that through our long-term planning, Swift Energy was also prepared to weather. Our South Louisiana operations and headquarters in Houston withstood direct hits from hurricane Gustav and Ike. Although we shut in approximately 515,000 barrels of oil equivalent productions from the result of the storm, the Company still produced 2.32 million barrels of oil equivalent for the quarter. This production was achieved at rates that we estimate would have seen us exceed the high end of our third quarter production guidance of 2.81 million barrels of oil equivalent if we had not have these massive storms. We currently estimate that approximately 300,000 barrels of oil equivalent will remain shut-in due to the storms during the fourth quarter of 2008 as we continue our recovery. Allowing for these production shut-ins totaling approximately 800,000 barrels to the full year of 2008, we expect production would have grown 2% to 3% year-over-year with yearend reserves still targeted to grow 3% to 5% over 2007 levels. Although there was some minor damage in several of our fields and significant damage through our Bay De Chene field which will require extensive repairs with the exception of that field, we are at or above pre-storm production levels in all of our producing areas except Bay De Chene. The impact of these storms on the communities that we operate in has also been extreme which makes the effort of our employees to return to work and bring our production back online all the more impressive. Here are some operational highlights of the quarter which include the success of the State Lease 18669 #1 exploration well at our Shasta prospect. This well drilled to a depth of 18,855 feet and demonstrated to us that our seismic inventory has generated prospects that we would not otherwise drill without this valuable tool. Although we have slowed our exploration program as we assess the current operating environment, we continue to develop sizable exploration targets from within these data sets. Our South Texas area continues to perform well and all 18 wells drilled there were successful. We were continually improving the performance of new and legacy wells through improved fracture and refracts emulations. We will continue to add through our acreage position in South Texas. Although we face uncertain times, the management teams of Swift Energy has complemented the strategy that is has gotten us to this point and with decisions that are being made currently will position the Company to be stronger than ever when inevitably with equity debt and commodity markets begin to reflect the underlying fundamentals of the securities they trade. At this time, I would like to turn this meeting over to Alton Heckaman for our financial highlights.
Alton Heckaman: Thanks, Terry and good morning everyone. Despite the slide in oil and gas prices during the later part of the quarter and the effect of two hurricanes, Swift Energy posted solid third quarter financial results. Revenue was $213.8 million, up 25% over 3Q 2007. Net income from continuing operations was $62.3 million, up 45% and diluted EPS from continuing operations came in at a $1.98, an increase of 42% compared to the third quarter 2007 while cash flow before working capital changes increased 20% per diluted share to $4.90. These strong results were achieved even as the storm affected production decreased 14% to $2.3 million barrels of oil equivalent. Crude oil prices remain strong for most of the quarter but again do decline during September since 63% of Swift's 3Q production came from crude oil and natural gas liquids, the high oil pricing environment proved very positive for Swift's financial results. Swift's average realized price in 3Q 2008 increased 47% over 2007 at $92.34 per Boe as crude oil prices actually averaged over $122 per barrel for the quarter compared to approximately $76 per barrel a year ago, allowing Swift to increase its quarter oil and gas revenues 26% over third quarter 2007. We continue to vigilantly focus on our controllable per unit cost in metrics, especially given the recent pricing volatility. All of which came in above our pre-storm guidance as production was shut-in due to the hurricane. G&A came in at $4.46 per barrel; DD&A per unit came at $22.52. Production cost, including some hurricane related expenses, came in at $10.77 per barrel and interest expense increased to $2.99 per barrel. Production taxes actually came in below guidance on a Boe basis primarily due to certain state severance tax credits that were realized. The result was income from continuing operations for the quarter of $62.3 million, $2.02 basic and $1.98 diluted, again above first call mean estimate. Cash flow before working capital changes for third quarter came in at $154 million or $4.90 per diluted share, while EBITDA was $159 million for this quarter of $5.04 per diluted share. Third quarter CapEx was $211 million including $46 million related to our South Texas property acquisition. Give the recent global credit crisis and the effects on the financial market at least in a moment will highlight Swift's solid financial position. Swift's debt to cap ratio currently in the low 30% range highlight what Terry mentioned our conservative leverage strategy and our conscious decision to maintain our CapEx within cash flow. Our two senior notes outstanding have very good interest rates and will align with our long term assets. With respect to our $500 million bank line facilities with our 10 member bank group that currently runs through October 2011, our borrowing base was just this month affirmed at $400 million and we continue to maintain a commitment amount at $350 million. The draw downs at quarter end of $117 million currently around a $150 million, we have still have plenty of liquidity and resources available through an additional value adding strategic opportunities that come along which we continue to cautiously review. I should note the recent affirmation of our lines speak to our solid bank group. Certain members of our bank groups are also the exclusive counterparties that we use for our hedging activity and as for those hedging activity, we have natural gas and oil in place for approximately 50% to 55% above production for the fourth quarter 2008 and an average NYMEX strike price at $9.15 per MMBtu. Likewise, crude oil floors have also been purchased for approximately 45% to 50% of our production in the fourth quarter and an average NYMEX strike price of $98.15 per barrel. Given the current pricing environment we find ourselves in, these oil and gas floors are significantly in the money and are likely to have a very favorable affect on our fourth quarter 2008 financial results. This highlights our long-term strategy that Terry mentioned as maintaining an active price risk management plan which protect against the precipitous decline in prices, affording a buffer to soften the effect in the service fees and allow the associated cost side adjustments to catch up. Recent price volatility has not allowed Swift to enter into any 2009 hedges currently but tour website remains the best source for complete and current detailed ongoing hedging information. As always, we have included additional financial and operation information in our press release including guidance for the fourth quarter and full year 2008. These are indeed interesting time in our world and our sector. I think that Swift is very well positioned financially to take advantage of opportunities that always still represent themselves during periods of uncertainty and adversity. To reiterate what Terry said, we are up to the challenge. And with that, I will turn it over to Bruce Vincent to an overview of our operation.
Bruce Vincent: Thanks, Alton and good morning everyone. Today, I would discuss third quarter of 2008 activity including our production volumes, recent drilling results, activity in our cooperating areas and our plans for the rest of the year. Beginning with production, Swift Energy' production from continuing operations during the third quarter of 2008 totaled 2.32 million barrels of oil equivalent or 13.92 billion cubic feet equivalent, a decrease of 14% from the 2.7 million barrels of oil equivalent produced in the same quarter of 2007. Approximately 515,000 barrels of oil equivalent in production was shut in during the quarter as we prepared and began recovery from Hurricanes Gustav and Ike. Sequential production decreased 15% including a hurricane related shut-ins and comparing third quarter of 2008 production to the production in second quarter of 2008. The Company estimates that production during the third quarter of 2008 would have exceeded the high end of our previously stated guidance and resulted in a 4% sequential increase in production and a 5% increase in production when compared to the third quarter of 2007 production if the hurricane related shut-ins has not occurred. Now, let us talk about our drilling results. Swift Energy completed 27 of 28 development wells in the second quarter of 2008 for a success rate of 96%. One non-operating development well and one non operative exploration well were unsuccessful. I will briefly review our activity in each of our core operating areas beginning with Lake Washington. Lake Washington area includes the Lake Washington field and the Bay De Chene field. Most of the production shut-in during the quarter associated with Hurricane Gustav and Ike was in this area. As a result, production during the third quarter of 2008 averaged approximately 12,506 net barrels of oil equivalent per day or about 75 million cubic feet equivalent per day net in the gas equivalents in the area, a decrease of 23% when compared to our second quarter 2008 average net production from the same area. The Company estimates that including production shut-ins would have resulted in a 5% sequential increase in production in the area. Lake Washington averaged approximately 10,169 net barrels of oil equivalent per day or 61 million cubic feet equivalent per day, a 27% decrease when compared to second quarter of 2008 volumes. The Bay De Chene sequential production increased 5% to 2,337 net barrels of oil equivalent per day. At the Lake Washington field in Plaquemines Parish in Louisiana, despite hurricane associated delay which is causing us to suspend drilling on five wells for a period of 26 days, we drilled these 35 wells during the third quarter. One of these, the SL or State Lease 212 #167 side track two which was drilled to 12,596 feet initially tested at rates over 1,000 barrels of oil equivalent per day with flowing tubing pressure above 800 PSI. This well is currently on production and producing more than 800 barrels of oil equivalent per day. Another well, the CM 398 side track two was drilled to 10,042 feet and is currently producing at rates over 400 barrels of oil equivalent per day with flowing tubing pressure of 720 PSI. Progress was made during the quarter in expanding the pressure maintenance project at Lake Washington. Permits were submitted to the state to provide additional water injection into the Newport reservoirs for pressure maintenance. Water injection into the current injection well has been averaging 1200 to 1300 barrels per day, an improvement over what it was still in the floor. We do not, however, expect to see a significant production response from the pressure maintenance problem until late next year. A second six-inch diameter production line was installed between the Newport header and the Westside facility here in the quarter. These lines successfully reduced back pressure on the wells at the Newport header and resulted in a production increase of around 600 barrels of oil per day. The positive impact of this line on third quarter production is certainly overshadowed by the negative impact, of course, of the two hurricanes. In Bay De Chene, two wells were drilled in the third quarter before hurricane shut-ins. Damage to equipment and facilities in the field have not allowed us to resume production or a chance to work wells in Bay De Chene. We anticipate limited production to be restored during the fourth quarter, before the end of the year. Pre-storm levels of production will not be possible, however, until full repairs have been completed. These repairs are expected to be completed in the first half of 2009 or more than likely a lot of it in the first half. During the fourth quarter at Lake Washington, we will slow our drilling program in response to recent commodity price volatility. We will end the year with reduced activity in the Lake Washington area but expect to increase our activity levels in those areas again, once we feel the cost of drilling services and supplies reflect the current commodity pricing environment. Those have to adjust quickly just as the price for the commodity adjusted quickly. We currently have six barge rigs contracted in this area. Five are operating in Lake Washington and one in Bay De Chene. During the third quarter, five rigs were forced to delay operation for 26 days as a result of Hurricane Gustav and Ike. When these rigs complete their activity, all but one in Lake Washington will be released. In our South Texas area which includes our Cotulla area and AWP field, third quarter 2008 production averaged 7,527 barrels of oil equivalent per day, a 2% increase in production when compared to second quarter of 2008 production in the same area. In the third quarter, we successfully completed 11 of 11 development wells in AWP field area and 8 of 8 development wells in the Cotulla area. Also during the third quarter, the Company closed the acquisition of additional property in the Cotulla area with $46.4 million that is previously announced in the mid September. The drilling program for the remainder of the year, AWP includes another eight Olmos wells, a previously announced well to test the Edwards Formation of the AWP area will be moved to the 2009 drilling schedule. We have two rigs in the Cotulla area and we will drill nine to eleven more wells during the rest of the year in that area. In North Lafayette area, which we have previously referred to as Toledo Bend, contributed 2,847 barrels of oil equivalent per day in production in the third quarter of 2008. Activity was light during the quarter when I have looked in the Masters Creek field and these fields were briefly shut-in also following hurricane because of power problems downstream. But production from new wells brought on line at South Bearhead Creek resulted in a 1% increase in production in this area when compared to second quarter 2008 levels and a 3% production increase when compared to the third quarter of 2007 production in this area. One new well will be completed and put on production in South Bearhead Creek during the fourth quarter. In our Lafayette South area, which is comprised of Horseshoe Bayou, Bayou Sally, Jeanerette, Cote Blanche Island and Bayou Bijou, production averaged approximately 1,949 barrels of oil equivalent per day or 11.7 million cubic feet equivalent per day, during the third quarter, a decrease of 24% when compared to second quarter production in this area. This area also experienced long shut-ins during hurricane preparations and recovery. In Bayou Sally, one development well was drilled to 14,380 feet which well encountered 46 feet of true vertical pay and was noncommercial in the first of three zones to be tested. The completion activities are underway in the second perspective zone. Updating the Company's strategic, 3-D based South Louisiana exploration program which began out of five of our major field during the third quarter, two well have been drilled with one being classified as successful. The State Lease 18669 #1 previously referred as the Shasta prospect we sustained measured gap of 18,855 feet during the fourth quarter. This well encountered 30 feet of measured base in two zones and will be completed late in the fourth quarter. This well may not be on production until 2009. Swift Energy will have 50% working interest to operate this well. One non-operated prospect, at least we had a 25% interest with drill closer to the Company's high Allen field and was unsuccessful. The Company is currently drilling one additional high potential prospect in the Westside area of Lake Washington. This well is intended to be a 12,000 to 15,000 foot test. Swift maintains a 100% working interest in this prospect. Additional, high end back exploration activity will continue in 2009 as market conditions allow. Further the Company continues to carryout the work necessary to design and plan an 18,000 to 20,000 feet sub-salt test in the Lake Washington area for drilling sometime during the first half of 2009. Thanks for you attention and I am going to turn it back to Terry to recap.
Terry Swift: Thanks, Bruce. Before we open the line for questions, I want to summarize Swift Energy's third quarter results and fourth quarter 2008 planned activity. To review some of the highlights from this morning, Swift Energy's management team is very aware of what is happening in our economy and our capital market. Although we do not know the extent or duration of the current environment, we are doing everything we can to protect our stakeholders. This is being accomplished through maintaining ample liquidity, not planning on utilizing the capital markets to fund operations and communicating with our bank group on a regular basis. Swift Energy had strong financial results in the third quarter of 2008. Our revenues increased 25% for $213.8 million, income from continuing operations was $62.3 million or a $1.98 per diluted share and cash flow before working capital changes was $153.9 million or $4.90 per diluted share. In the third quarter of 2008, after shutting in approximately 515,000 barrels of oil equivalent, we had production of 2.32 million barrels of oil equivalent for the quarter. The high end of our previous third quarter guidance was 2.81 million barrels of oil equivalent which we estimate would have been surpassed without the storm shutting in and operational delays. Our seismic generated drilling inventory continued a year of results in South Louisiana and South Texas. We are building a large seismic library and adding additional acreage in expanding our drilling efforts in the almost average slow motions. Our performance has improved in South Texas and we are looking forward to the continued activity there in 2009. Finally, it is our goal to grow reserves and production. Over our history, we have been successful in growing through the drill bit and the acquisition market. If economic activity stays well and commodity prices remain low, our organization will still be able to grow and prosper in the future. At this time, we would like to begin the question-and-answer portion of our presentation.
Operator: (Operator Instructions) Your first question comes from the line of Nicholas Cope - JPMorgan.
Nicholas Cope - JPMorgan: I was hoping you could help me out with, I guess, the damages at Bay De Chene. Could you describe what actually is wrong with the facilities right now? I think initially you had mentioned like a small crack on over the pilings. I guess, what is going on?
Terry Swift: I will take an executive level brief at that and Bob Banks, our Chief Operating Officer to review and will give you a detail after then that will be good. Bay De Chene was very, very close to where Hurricane Gustav made land fall and the storm surge that came through Bay De Chene actually ripped off the bottoms of a lot of our field houses and took some tanks and just shifted them around in such a way that they were not utilized or could not be utilized. We have older facilities there. We have previously in Lake Washington been building and improving our infrastructure and giving our structures a higher than historical construction have been and the Bay De Chene area, we still have pretty low platform pipe out there and older platforms. We have done all the work to go in and survey, resurvey the area and we have got a good handle now on what we believe is going to cost us to restore the field but given that the old standards this platform is kind of too low for the levels for the storm surge that we saw, we actually want to improve the facilities out there. This early we believe we got a lot of growth in. We estimate right now it is kind of like an AWP and growing. From that perspective, we are taking our time worrying about it and got some high pressured gas out there that we think we can get back to market sooner than the rest of the field. We are working on that. I am sure we have a little bit in that later in the fourth quarter but certainly in 2009 with less than the facilities as I noted. We are not just going to restore them, we want to improve them. We are estimating right now around $20 million worth of damage that we have incurred out there. I want to be careful about how I say that because we are insured, we are expecting our insurance providers to provide us some substantial recruitment from that. We are working with them. Obviously, the only thing that the insurer wants is what was there and not the improvements we intend to put out there. Bob, you want to add a little to that?
Bruce Vincent: None of the insurance reimbursements are in our capital numbers.
Robert Banks: Yes, I mean I will just add a little color to what Terry and Bruce was saying. Basically, some structures were significantly damaged. This was a very low elevation facility. It is one that we acquired in an acquisition and a lot of our tank batteries were damaged, the production lines going into the tank batteries, our walkways were fairly significantly taken out and as Terry mentioned, all of our buildings, all the flooring, those were whipped up by the high tidal action. So, it is a pretty significant issue and we are faced with a choice of what we will do, to rebuild that existing facility or should we make it really strong that they could stand these types of hurricanes? The decision we have come to is we want to make this stronger. We have a lot of faith and confidence at Bay De Chene and what we can do there so we are going to rebuild that facility to a similar stand here than as what we have done at Lake Washington which by the way withstood those both of the storms extremely well. So that is the type of building that we want to have so that we can come back very, very quickly and we are going to actually elevate these facilities so we do not have those types of tidal surges in the future causing us damage. That is kind of where we want to go with Bay De Chene.
Nicholas Cope - JPMorgan: Okay, and you said, I guess it was producing about 3600 barrels a day before the hurricanes. What kind of level, I guess, the minimum production we hope we can get back online in fourth quarter and then I guess, it will going to be able to get back up to that level in the first half of 2009. Is that what you are talking back getting back up to?
Robert Banks: Yes, actually the first of those adjustments have to do with reestablishing some of our high pressured gas production and our target is to reestablish about 10 million cubic feet a day in the fourth quarter, before yearend on the gas production. As far as getting back to pre-storm levels, we certainly will get back to pre-storm levels and in fact we have a number of wells stocked behind it ready for completion and hook up which means we have taken those full productions stream so we would expect to be at or above our pre-storm production levels probably by around midyear. Depending on some construction related issues but we are progressing that quite nicely now but I think as far as looking forward, we are talking about midyear to have the full new build facility up and running in commercial.
Nicholas Cope - JPMorgan: Okay thanks and I guess moving to something else a little different here with Lake Washington, I guess the pressure maintenance program, I mean the response that you are getting I guess with the initial water injection, what are you expecting and have you had to shut in other production to maintain the reservoir pressure, I think kind of like that was an issue previously in the last quarter.
Terry Swift: Great question, I will try to answer the pieces there but first of all, we really only have one drill right now that we are injecting water for pressure maintenance and we are injecting it into different zones. We are injecting a little over a thousand barrels a day out there. That is not enough for the plans that we put together. We do believe there are some things we may be able to do in terms of acids and washes and things like that to get that up overtime. We have done some of that already but we really need to be putting into the ground significantly more than that. We have our plans for other wells of either conversations or other wells that we will be drilling there. We were proceeding with those plans when Hurricane Gustav came and in fact, we had to move out of the area but the latest, we also have put permit into the state for various conversions. We truly anticipate that we will get those permits pretty soon and we are ready as soon as we get the permit to start with more water in the ground. That is necessary. In terms of contemplated production profiling, we are really looking at keeping a few of wells pinch backed. We did have some changes there that we shut the field in due to the hurricanes and brought the fuel back online, we have ended up with more oil and little less gas but it is actually a small item in terms of how we report but it is an important item in terms of Newport. So we are producing less gas. We have got the gassier wells pinch backed a little bit because there were all small valuable and we want the pressure to stay up in there.
Nicholas Cope - JPMorgan: And I guess, it sounds like you are cutting back on the rigs in Lake Washington. Do you think that does have any impact on the positive approach at Lake Washington at yearend or do you think it is not going to have an impact?
Terry Swift: No, I do not think it would, Lake Washington has about some very high impact types of production and even at the lower approaching environment, we feel pretty good about Lake Washington. I would say that the cutbacks in drilling activities directly related to the cost of drilling and as you will know, oil prices got up to $147 this past summer and all cost were peaking up very, very fast underneath that especially items like steel. We are keenly of the mindset that in the lower costing environment, we want to get advantage of lower cost and so we are deferring some of that drilling till we get the right service providers and like commodity prices on the steel side, the service side, I think it is good for everybody. We did make a lot of progress out there in 2008 and we are finishing up the year with a lot of progress and I do not think it really will impact our reserve picture. It is really a question of us conserving capital and waiting for the cost to come down a little bit.
Bruce Vincent: Certainly, well I do not see it affecting the picture that Lake Washington has built, but there are a couple of impact wells that we were thinking of drilling that we are going to put up in the next year but that is reflected in what Bob and Terry talked about. I think just to reiterate Terry's comment about cost; we have thought for years about margins and the weight of cost distribution between DD&A, refining cost and cash operating cost and profit margins work in relationship to the long term price of the commodity. Clearly, the long term price of the commodity forecast period has come down dramatically. We would drive those costs down quickly and we are sending the message to the drilling contractors and vendors of that very thing and doing it demonstrably, obviously involved cutting back on some rigs. We think that that will align itself with $65 to $70 world and we will be picking those rigs back up early next year. It is a symbiotic relationship early between explorers and contractors and the added service providers to work through these down periods and strategically spreading the cost out amongst everybody and we will be down there and we have been through downturns like this as very opportunistic like during good shape or balance sheet is strong or liquidity is strong. We are going to setting back quite frankly in what potential opportunities this market will play. We also think we can get some impact wells drilled next year at much lower cost as a consequence.
Operator: (Operator Instructions) At this time, there are no further questions.
Terry Swift: Alright. Well, thank you everybody for listening in. If anybody has any questions they will think of later, please call Paul, we will be happy to talk to you.